Operator: Good morning, and welcome to NeueHealth's First Quarter 2025 Earnings Conference Call. As a reminder, this call is being recorded. Leading the call today are NeueHealth's President and CEO, Mike Mikan; and CFO, Jay Matushak. Before we begin, we want to remind you that this call may contain forward-looking statements under U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including risk factors in our current and periodic reports we file with the SEC. Except as required by law, we undertake no obligation to revise or update any forward-looking statements or information. This call will also reference non-GAAP amounts and measures. A reconciliation of non-GAAP to GAAP measures is available in the company's first quarter press release available on the company's Investor Relations page at investors.neuehealth.com. Information presented on this call is contained in the earnings release we issued this morning in our Form 8-K dated May 8, 2025, and in the related presentation, each of which may be accessed from the Investor Relations page of the company's website. With that, I will now turn the conference over to NeueHealth's Chief Executive Officer, Mike Mikan.
Mike Mikan: Good morning, everyone, and thank you for joining NeueHealth's First Quarter 2025 Earnings Call. NeueHealth is pleased to report another solid quarter of financial results. This year, we are continuing to see our value-driven consumer-centric care model resonate with the market. In the first quarter, we served over 709,000 consumers, which represents growth of approximately 51% over Q1 2024. This growth is substantial and is attributable to a few key factors. First, we believe that our care model is driving value for all stakeholders. It tightly aligns the interest of consumers, providers and payers to deliver differentiated results and create a care experience that is seamless and more coordinated for all. We believe this is unique and represents a clear shift from traditional fragmented approaches to care. Aligning interest is core to what we do and our continued success as a leader in value-based care. Second, we are focused on forming strong relationships with consumers, providers and payers across the industry. These relationships are ongoing and rooted in trust, and they provide a strong platform to drive continued growth. We see our relationship-based approach as a key reason we have been able to successfully advance our care model. And finally, we attribute our success to our commitment to delivering personalized care to all populations across the ACA Marketplace, Medicare and Medicaid. By serving a diverse population base, we can mitigate risk associated with high concentration in any one product area, and we can more easily broaden our reach with a proven set of capabilities built to serve all populations no matter their need or circumstance. Serving a diverse population base is a key component of our model and critical to our continued growth in 2025 and beyond. Overall, 2025 is off to a great start, reflecting the value we are driving for consumers, providers and payers across the industry. This gives us confidence that we are in a strong position to continue to advance our model, broaden our scope of capabilities, expand our footprint and deepen our partnerships with providers and payers in 2025 and beyond. As I mentioned on our last call, in December 2024, we announced that we entered into a definitive agreement to go private, led by an affiliate of one of our largest investors, NEA. We anticipate the transaction closing in mid-2025, pending satisfaction of the necessary closing conditions. For additional information regarding the proposed transaction, please consult our filings with the SEC. I'll now hand it over to Jay to provide additional details on our first quarter financial performance.
Jay Matushak: Thank you, Mike, and good morning, everyone. I'll now discuss our first quarter performance for our continuing consolidated NeueHealth business as well as each of our continuing NeueCare and NeueSolutions segments, and I will review our balance sheet. GAAP financials are included in our press release and 10-Q and contain results that include our discontinued operations. NeueHealth consolidated revenue for the first quarter was $215.8 million, slightly lower than prior year due to a shift in membership mix away from ACO REACH to other lines of business. First quarter gross margin was $54.9 million. For the fifth consecutive quarter, we achieved adjusted EBITDA profitability, driving $13.5 million of adjusted EBITDA in the first quarter. As Mike mentioned, to start the year, we generated significant growth in the number of consumers we served across our NeueCare and NeueSolutions segments, serving 709,000 consumers across the ACA Marketplace, Medicare and Medicaid, and we continue to see opportunities to expand the populations we serve across product categories. In our NeueCare segment, revenue was $90.5 million in the first quarter and NeueCare operating income was $23 million. Through our clinics, we served 530,000 value-based consumers, representing an increase of approximately 67% over 2024. This growth was made possible by the ongoing personalized relationships we have formed with our consumers and their trust in our ability to deliver high-quality affordable care. Turning now to our NeueSolutions segment, which consists of our provider enablement business as well as our participation in ACO REACH and MSSP. In the first quarter, NeueSolutions revenue was $127.6 million with operating loss of $3 million. In the first quarter, we drove strong growth in our provider enablement business, continuing to expand the Medicaid consumers we are serving and building on the relationships we have established and provider groups across the country to serve 138,000 consumers. In 2025, we are leveraging our experience in innovative government programs, participating in MSSP as well as ACO REACH. Through these programs, we are serving approximately 41,000 consumers in 2025. I'll now review our balance sheet. As of March 31, 2025, we had $239.4 million in total cash and investments, including amount in our regulated entities. Our nonregulated cash and short-term investments were $145.1 million at the end of the first quarter, including $31.8 million of restricted cash and investments. Mike, I'll now turn it back over to you for some closing comments.
Mike Mikan: Thank you, Jay. As you've heard today, we delivered strong results in the first quarter, significantly growing the consumers, we serve to 709,000 and driving $13.5 million of adjusted EBITDA. Our solid first quarter performance provides a strong foundation to continue to advance our value-driven consumer-centric care model in 2025 and beyond. As we mentioned on our last call, we are focused on a few key growth areas in 2025. First, leveraging our ability to serve a diverse population base, we intend to continue to capitalize on the opportunities to bring high-quality, affordable health care to more consumers across product categories, delivering personalized care to all populations across the continuum of need. Second, we will look to expand our footprint in our existing markets, leveraging our strong local presence and deep relationships we have developed in the communities we serve. In addition, we will evaluate opportunities to grow in new geographies with attractive market conditions. And third, we will look to grow alongside our existing payer partners as well as prioritize forming relationships with new payer groups. And finally, we expect to build upon the relationships we have established with providers across the country, continuing to partner with them on our path to participating in performance-based arrangements. I'm looking forward to building on the strong momentum we have established to start 2025. We are well positioned to continue to align the interest of consumers, providers and payers, drive strategic growth, and create a seamless, more coordinated care experience for all. We have a strong team in place, and I'm excited about all we will accomplish together this year and beyond. That concludes today's call. Thank you for joining and for your interest in NeueHealth.
End of Q&A: